Nina Grieg: Good morning, and welcome to Grieg Seafood's Fourth Quarter Presentation. My name is Nina Willumsen Grieg, and I'm the CEO of Grieg Seafood. Together with me today is also our CFO, Magnus Johannesen. Today's agenda will cover a current status on our strategic turnaround and updates on our operational and market performance. As always, Magnus will walk us through our financial review and also share some information on the dividend after the transaction. Starting with the highlights of the quarter. This is our final presentation covering discontinued operations, and I'm pleased that the closing occurred as scheduled in Q4. It has required quite some resources and focus from our organization, and we look forward to focusing solely on Rogaland going forward. Q4 represents a solid quarter, harvesting just below 7,400 tonnes and delivering a farming EBIT of NOK 20.7 per kilo, a result we are very pleased with. I will get back to details on this in our operational review. A high priority for the management team continues to be restructuring of the company. We are continuously doing changes and improvements in our balance sheet, structure and operating model. As a result of the closing of the transaction, we have used the proceeds to repay debt, taking up a new syndicate with Nordea and SEB, and the Board has taken the principal decision to advise the general assembly to pay NOK 4 billion in distribution to shareholders. I will continue to repeat this slide and our new focused strategy. We will go from global growth to regional profitability. This shift requires disciplined execution, and we have maintained momentum also in Q4. A key operational focus for us continues to be how to best utilize the strong position we have on post-smolt and land-based. During the quarter, we announced the planned expansion at Tytlandsvik of 2 new buildings, and we are also planning to build an in-house smolt facility at Ardal. This project has been in development for a long time and will support improved performance and fish welfare throughout our value chain. We will give you more details on this in our Q1 presentation. Capital discipline is key to our new direction and investment in Grieg Seafood is kept at a minimum level during Q4 and until new strategic plans are reviewed and implemented. Having completed downsizing, we have turned our focus to absolute cost and reducing complexity. As part of that, we have defined additional cost reduction of a conservative estimate of NOK 50 million for 2026 as we target below NOK 3 in overhead cost on average. These actions are all key for us to achieve our targets. Deep diving into operations and quarterly performance in Rogaland. All our freshwater facilities, including joint ventures, delivered solid production with an average smolt weight of 1.2 kilo. Following a challenging Q3 for us, we have to say, we had a slow start for production at sea with elevated mortality into this quarter as well. However, the performance improved as lice and gill challenges eased and production was strong in the quarter overall. This allowed us to recover the lost growth and enter into 2026 with high average weights in sea and maximum MAB, actually 98% for the year on total on MAB utilization. Harvest volumes increased from Q3, resulting in all-time high harvest volume of almost 30.5 tonnes for Rogaland. Our guidance for 2026 is 31,000 tonnes for the full year and 6,600 tonnes for Q1, slightly skewed towards the end of the quarter. The farming cost for the quarter was NOK 63.6, still higher than we like, but lower than Q3. And we still have our long-term target of NOK 60. Summing up the key figures for Q4, it has been a strong quarter with an operational EBIT of NOK 152.8 million. The post-smolt we put to sea is now significantly higher than any of our peers. The distribution of smolt size has shifted dramatically over the last few years, as you can see in this chart, with more than 50% being above 1 kilo. As noted in Q3, our main objective going from '24 to '25 was to minimize the lower sized groups and only our broodstock smolt, 7% of our smolt was below 500 grams in 2025. Finding the right-sized smolt for each site is a key part of our production planning. The smolt put to sea in Q4 was 900 grams from Tytlandsvik and 1.4 kilo from Ardal on average. In 2026, we also plan to harvest 500 tonnes of fully grown fish from Ardal. This is a pilot. The fish is performing well, and it is providing valuable insights into the potential of full cycle land-based production. Turning to some comments on sales and processing. We were very happy with our achievements in this quarter. Our achieved sales price was NOK 84.3, a solid beat on the index, driven by high harvest weights, 55% contract share and strong sales performance on spot. The price experienced an upward trend during the quarter as illustrated in the middle chart. Looking at the details of the chart, it reveals that we benefited from optimal harvest timing, both for the entire quarter and on a weekly basis. We believe we are able to achieve this over time through close collaboration between production and sales. At Gardermoen, Oslo Salmon processing, it's called, construction was finalized in December, and we successfully started production in January. Initial ramp-up shows high demand for filets and access to external raw material is expected to be sufficient to maintain high production utilization in 2026, but we expect Q1 to be a ramp-up period. We are guiding a volume of 8,500 tonnes of raw material for value-added products in 2026. To ensure high utilization of this facility, we are currently seeking partners to supply external fish and also exploring partnership models for the facility itself. And with that, I leave the floor to Magnus.
Magnus Johannesen: Thank you, Nina, and good morning, everyone. So I think as you might have seen already, this quarter is presented with implications from several of the processes that we have completed, but also initiated in Q4. This includes the closing of the transaction, which causes a significant inflow of cash. It's also about the hybrid bond, which has been temporarily reclassified to debt and also discontinued operations, which are still included in both our NIBD structure as well as our cash flow that we present today. We're also happy to report that we have completed what we promised in Q3, both in terms of dividend, but also in terms of closing the negotiations with Nordea and SEB, which we are very pleased to have entered into a new financial syndicate with very few days ago. And with that, I will go into the profit and loss statement. Starting on the top, we see that our sales revenue have increased 10% year-over-year. This is mainly due to higher price achievements, both from our composition of higher average weight, but also our financial contracts and physical contracts. However, it's drawn slightly below -- slightly down again from lower superior share and lower volume compared to Q4 last year. Moving then to EBIT. We see that our costs have increased slightly from what we have guided -- from what we have achieved earlier, and this is due to we have continued harvesting from a site in Q3 and had a higher capitalized cost to that inventory. This results in a higher farming cost that will also continue in Q1 as we will continue harvesting from this specific site. But we do see this as temporarily until this site is fully harvested out. But despite this, solid price performance ensures the group EBIT of NOK 142.9 million, corresponding to a NOK 19.4 EBIT per kilo. Moving then my attention to some special items in the profit and loss statement, which includes the reversal of a previous write-down on one of our licenses in Rogaland. And this is done due to the demerger of our group company that kept the licenses of Grieg Seafood Norway, where we now reversed that write-down in this quarter. Moving then my attention to the net profit for the period from discontinued operations. And this number includes a gain of approximately NOK 900 million on the sale of Grieg Seafood Canada operations and our Finmark operations. And many might wonder why this is so much further below than NOK 10.2 billion equity value, and that is simply that the assets we sold also had an outgoing value from our balance sheet, but we still have -- we still have received the cash as stated in our cash flow statement. So this is basically the sold price or the price of what we have sold minus the asset value of what we have sold. Moving on to cash flow. And as you might see, we don't have the catch function as things will have in our reporting formats. But overall, our net cash flow from operations came in at NOK 173 million for all 4 regions. This is positively impacted by operational EBITDA of NOK 408 million, but negatively impacted by changes in net working -- sorry, changes in working capital of slightly above NOK 400 million, which includes a biomass buildup of NOK 220 million across all 4 regions. And that also represents that both the regions that we have sold and Rogaland regions that we are maintaining have had good quarters in sea. Looking then at the net cash flow from investment activities. This is also significantly impacted by the transaction. And not surprisingly, this is mainly due to the net proceeds related to the sale of around NOK 9.1 billion. But if we isolate the net CapEx investments, this came in around NOK 170 million. Out of this, NOK 140 million is related to the discontinued operations, which is, of course, mainly driven by continued construction of the Adamselv facility in Finmark. But this also shows that the Rogaland region have a very well-invested value chain and has no need for significant CapEx lifts in the year to come. And for 2026, we are doing the share issue in Ardal Aqua to build the on-site smolt facility of around NOK 45 million, which is NOK 15 million lower than what we guided on previous quarter. If we then look at -- our eyes on 2027, we see that there's no significant CapEx plans except replacement and maintenance CapEx, which included here on the slide, which are conservative estimates. Going then down to net cash flow from financing, which is also heavily impacted by the inflow of cash from the transaction. All in all, when we received the settlement -- the proceeds in Q4, we distributed significant portions of this to repaying all our debt and credit lines in the previous bank syndicate. And this is quite obvious from this slide, but what is important to also note is that this does not include the bridge loan that we took on early Q4 to plug the CapEx needed for Adamselv facility in this quarter. Residual items include lease liabilities, interest costs and also the hybrid dividend. Moving then to the net interest-bearing debt. So it's -- I think it's the first time that Grieg Seafood presents a negative net interest-bearing debt position. But what this can be translated to is that we have a cash positive position that go out of Q4. So starting on the net interest-bearing debt going out of our third quarter. We see that this has been positively impacted by the operational EBITDA across all 4 regions, negatively impacted by biomass buildup and gross investments as well as the hybrid dividend. But then there's a significant increase due to the reclassification of our hybrid bond. And just to pause there for one second is that this reclassification is due to the bondholders having a right to exercise their put until 28th of January, which means that going out of Q4, this had to be classified as short-term debt. Now that we have exited this put option period, it will be once again reclassified as equity. And then it's also important to note that when we reclassified it to debt, it had to be reclassified at 105% and not 100%, but it will go back to equity as 100%. That's the technicalities that's important to note. And then you see that we have done the down payments of approximately NOK 4 billion, and we have other changes of around NOK 5 billion, which except some timing differences is purely with the NIBD going out of Q4 of negative NOK 2.4 billion, NOK 2.5 billion or alternatively a net cash positive position of NOK 2.5 billion. Also moving to one -- I just want to highlight one thing is that in Q4, the Gardermoen facility entered our balance sheet with their leasing debt that we have entered into in terms of the construction of that facility. Moving then to a topic I received quite a lot of questions about in the past months. So overall, the Board will propose to an extraordinary general assembly that the company will distribute approximately -- or not approximately anymore, actually NOK 4 billion in shareholders meeting to shareholders. And the reason why we can't share all the details of ex-date and payment date, et cetera, is that we are still awaiting the finalization of the interim balance sheet and the audit of this balance sheet, which is formality criterias in order to pay out a dividend. We do not expect this to be any issues, but it is a formality that we need to follow. However, we will say that you can expect the call for an extraordinary general assembly to be sent out by end of March, where all the details will be listed and hence, payment will be done shortly after the general assembly has been completed -- the extraordinary general assembly has been completed. And with that, I will hand over to Nina, who will take us through the future building blocks.
Nina Grieg: Thank you, Magnus. As we wrap up the last quarter and under the previous Grieg Seafood structure of 4 regions, I want to highlight our key strategic building blocks going forward, strengthening, prioritizing and future-proofing our operations. Our focus in 2026 is strengthening the company and driving profitability, building the fundament for the future. Biological KPIs and performance remains the core benchmark of our success as fish farmers. Rogaland has in 2025, delivered high harvest weights, record volumes, optimal MAB utilization and an average operational EBIT of NOK 21 per kilo, if you look at the last 5 years, confirming our position as a top operator. Our goal is to further fine-tune and stabilize this. Next, we will prioritize key initiatives for growth, both on land and at sea. Our progress towards 10,000 tonnes of land-based production demonstrates our ability to execute on our strategic choices. Through 2026, we will be evaluating the next phase of our land-based production. The ongoing expansion at Tytlandsvik and the pilot at Ardal for harvest sized fish are central to this part of our strategy. Looking ahead, future-proofing means preparing for opportunities with new technology and adapting to regulatory changes that we believe will come. Our partnership since 2019 with FishGlobe has provided valuable insights on closed containment and new technology, which we will leverage in the next steps. So this fourth quarter represents a solid foundation for the future Grieg Seafood that we envision. We delivered good biological results, robust sales performance, made decisive decisions and ultimately achieved strong financial results. And with that, I welcome Magnus back to the stage, and we open for questions.
Stein Aukner: Alexander Aukner, DNB Carnegie. So could you give an indication of how much of the hybrid bond has been recalled?
Magnus Johannesen: Yes. So it is obvious to us that many of the bondholders still believe that the bond should remain in our balance sheet given the financial position. So it was only one bondholder that exercised the right to put -- the put on 105, and we are in dialogue with many others. But we do expect -- we are keeping all options open when it comes to both redeeming the hybrid bond through replacement capital or tender offer. But as you can also see, it has been reclassified to debt this quarter. So we need to go into the dialogue with shareholders to the bondholders and find a solution with them how we can redeem this bond. But our intention is to redeem it indeed.
Stein Aukner: Okay. And the CapEx and the working capital buildup for the discontinued operations, is that already netted out in the net proceeds? Or will that be adjusted in Q1?
Magnus Johannesen: That's already netted out in the -- it should already be netted out in the proceeds, yes.
Unknown Analyst: [ Martin Kardal ] ABG Sundal Collier. Will the sites with the higher capitalized costs be emptied out -- fully emptied out in Q1? And how does it look on performance, cost performance on the sites from Q2 and onwards?
Nina Grieg: Yes. The most challenging site will be harvested out in Q1. And we had a challenging Q3 and it -- but it was mainly this and a part of a few other sites, but it is mainly this that -- so it will be out during Q1.
Unknown Analyst: And then you reiterate your long-term target of NOK 60 per kilo in Rogaland. Would that be within reach during 2026 or for the full year, given that the level will likely be a little bit high in Q1?
Magnus Johannesen: I think we have shown that the biological incident or biological challenging conditions in 2025 still gave us a cost EBIT per kilo of NOK 61.7. And for 2025, we don't expect to be achieving the NOK 60 long-term target, but we are working on a positive trajectory towards that over time.
Christian Nordby: Christian Nordby, Arctic Securities. You have increased the smolt weight substantially in '25 versus '24. Do we see full impact of that on your harvest guidance for '26? Or should we think that there will be more growth to come in '27 based on that?
Nina Grieg: There will come some more growth in '27 based on that.
Magnus Johannesen: And maybe important to mention also when a smolt size increases, we have higher costs going to biomass from land. Hence, you will see higher cost in our biomass numbers as well. All right. Anything on the web.
Unknown Executive: There's one question on the web regarding if you can say anything about the total amount presented in the claim from the minority shareholder in Grieg Seafood Newfoundland AS and if there will be any legal proceedings regarding that?
Magnus Johannesen: So this is a Canadian former minority. And our assessment is that this is a claim which is not substantial in amount or probability. And this specific owner had an ownership of 0.5% of the Newfoundland shares. And we do not see this as something that are -- we are not provisioned for anything of this, but we mentioned it due to the fact that it has been made a letter, but not any formal legal claim. Thank you. All right. Based on that, thanks a lot.
Nina Grieg: Thank you. Have a nice day.